Operator: Good day, ladies and gentlemen, welcome to the Vista Gold’s First Quarter 2021 Financial Results and Corporate Update Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Today is Tuesday, May 4, 2021. It is now my pleasure to introduce Pamela Solly, Vice President of Investor Relations. Please go ahead.
Pamela Solly: Thank you to [indiscernible] and good day, everyone. Thank you for joining the Vista Gold Corp. First Quarter 2021 Financial Results and Corporate Update Conference Call. I’m Pamela Solly. The President of Investor Relations on the call today is Fred Earnest, President and Chief Executive Officer; Doug Tobler, Chief Financial Officer. During the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties, and other factors that may cause actual results, performance, or achievements of this to be materially different from the results, performance or achievements expressed or implied by such statements. Please refer to our most recently filed form 10-K for details of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. I will now turn the call over to Fred Earnest.
Fred Earnest: Thank you, Pam, and thank you everyone for joining us on the call today. We’re pleased to report that during the first quarter of this year, our management team achieved solid costs and capital management performance and strong execution toward our core objectives, including advancement of the Mt Todd mining management plan to the final stage of review and approval. And excellent results from our ongoing drilling program. Additionally, we continued efforts to seek a strategic partner for the development of Mt Todd. Maintained our outstanding safety record having achieved 1,437 days without a loss time incident. Substantially de-watered the Batman pit and held the first meeting of the newly formed leaders forum with the Jawun Association Aboriginal corporation. Our corporate activities continue with the executive team transitioning from working remotely to working in the office in smaller teams, on a more regular basis. And video conferencing continues to replace corporate travel and in-person conference participation. In the Northern territory of Australia COVID-19 cases are almost nil. And control measures have been significantly relaxed. Unfortunately, travel by international visitors into Australia remains very difficult. Mt Todd continues to operate on an approved COVID-19 management and mitigation plan that is presently less restrictive than originally required. I’ll discuss several important Mt Todd programs in greater detail in the call, but I will now turn the time over to Doug Tobler for a review of our financial results for the quarter ended March 31, 2021.
Doug Tobler: Thank you, Fred. And thanks to those on the call today. I appreciate you joining us. I’m pleased to report, we continued the solid financial performance, that allowed us to close the quarter in a strong cash position. I’ll speak to a few of the highlights today, but please refer to our form 10 Q for more information. Cash and cash equivalents, totaled $7.2 million at March 31st, 2021. This compared to $7.8 million at December 31st. The decline in cash during the quarter was expected given our ongoing drilling program and the significant amount of water that we were able to pump from the Batman pit during the first quarter. We also benefited from receipt of $1.1 million from prime mining. And about $600,000 from limited ATM activity. By ending Q1 with a strong cash position, we were well positioned to proceed with our continuous drilling programs. Our results of operations were also in line with expectations. We reported a loss of $3.1 million for Q1 2021 compared to a loss of three and a half million dollars for the first quarter of 2020. Narrowing our net loss resulted from a couple of things. First, we recognized a small loss of $30,000 on other investments this quarter, compared with a $1.1 million loss for Q1 2020. This year’s loss was an unrealized loss for marking the new Senterra shares to market. Last year, the loss was largely an unrealized mark-to-market loss that related mostly to the Midas Gold shares, held at the time. And secondly, the on-ground programs at Mt Todd were expensed according to our accounting policies, this included about $400,000 for the drilling program and $200,000 for water pumping. We did see a negative impact from the strengthening of the Australian dollar, which was about 5% higher than expected, that said other cost controls that remain strong, allowed us to largely offset the FX impact. Looking forward, we have a couple of discretionary programs in process and being planned for the balance of 2020. These include ongoing exploration drilling and a Mt Todd technical report to meet the newly required provisions of FTC Regulation S-K 1300, which replaced FTC industry guide seven for fiscal years beginning on or after January 1, 2021. Of course, we will continue to focus on monetizing non-dilutive sources of funding. This includes agreements in place for a final $1 million payment due from prime mining this summer. And an option payment from new Senterra resources. By the end of January, 2022, our team is also seeking opportunities to monetize other non-core assets. That concludes my comments for today. So I’ll turn the call back over to the Fred. Thank you.
Fred Earnest: Thank you, Doug. During the quarter, we continued to de-risk Mt Todd and undertook several programs to increase shareholder value in a cost effective manner. We’ve been working with the NT government, since late 2018 on the approval of our mine management plan. The mine management plan is similar to an operating permit in North America and is Vista’s most important near term de-risking activity. The technical review process and preparation of the formal approval documents are complete. It is our understanding that the final NT government approvals are in process. With final approval of the mine management plan, Vista will hold all major permits required for the development of Mt Todd. We continued our drilling program, during the quarter and are very excited about the excellent results today. As many of you may recall our initial program of nine holes totaled 2,640 meters and was completed during the first quarter. Results of eight holes have been announced to date with each hole intersecting mineralized structures, approximately as targeted. Intercepts were generally thicker than anticipated and encountered higher than expected gold grades. The first phase of drilling provided our geologists with greater understanding of the location and the interrelation of mineralized structures and cross structures connecting the Batman deposit and the Gulf-Tallis targets. In March, we made the decision to expand our drilling program by adding an additional 10 holes or approximately 3000 meters, drilling. To focus on deep drilling from the structures and cross structures, connecting the Batman and the Gulf-Tallis penguin targets. Ongoing drilling is focused on the hinge points and the intersections of these structures, which typically provide the best conditions, for the deposition of gold and quartz, calcite and sulfide veins. Our historical success, in significantly increasing the known size of the Batman deposit, through deep drilling and our recent success drilling deep holes along known, but undrilled structural targets, reaffirm our belief that there is opportunity for significant resource growth at Mt Todd. We believe that the potential to significantly extend the life of Mt Todd is important to potential partners. Our present drilling program is planned to demonstrate that potential and unlock the door to greater value recognition. Our next release of drilling results will focus on holes drilled approximately 500 meters north of the Batman resource model limits. Drilling on this section has focused on two distinct structures that are separated by approximately 250 to 300 meters. We invite you to watch for that release. Water management is a top priority for Vista and Mt Todd during the most recent wet season. And through the first quarter of this year, we pumped approximately 2.5 gigalitres of water from the Batman pit in accordance with our water discharge permits. This included 1.7 gigalitres during the three months ended March 31st, 2021. The remaining half a gigaliter of water will be pumped from the pit in due course, requiring only four to six weeks to complete. Achieving this milestone reflects the long-term success of our water management program and provides greater certainty related to timely future mine development. Community engagement is another top priority for our company. I’m pleased to report that since the start of the year, we have now held two meetings of the leaders forum with the Jawun Association Aboriginal corporation. As contemplated in our updated agreement with the Jawun association that was announced in November of 2020. The Jawun association is a key stakeholder, and the leader’s forum provides a direct opportunity for Vista and the Jawun people to work together on a range of topics. During the quarter, we continued to progress our efforts to seek a strategic partner for the development of Mt Todd. While the pandemic has slowed our partnering efforts, we continue to work towards this objective. We believe Mt. Todd’s attributes provide a solid basis to engage with prospective development partners. Key considerations in any potential partnership transaction include value creation by recognizing the intrinsic value of Mt Todd and minimizing future dilution to the Vista shareholders. Vista’s share price performance, continues to outperform its peers. Year to date Vista’s shares are up approximately 1% compared to the GDXJ which is down 8.7%. Looking ahead, we’re excited about ongoing programs that present significant opportunities to realize shareholder value, more in line with the value of Mt. Todd, a few of the important upcoming catalysts that used to be mindful of include, the final approval of the Mt Todd mine management plan and ongoing drill results, from the continuing drill program, we continue to engage with potential partners and identify strategic opportunities to advance the development of Mt. Todd. As a result of COVID-19, this process may take longer than anticipated. However, we remain focused on completing the right transaction. One that achieves a structure that provides a appropriate opportunity for value creation by recognizing the intrinsic value of Mt Todd and minimizes the potential for future dilution. Our objective is to achieve evaluation for Mt Todd that is reflective of the size of the gold deposit together with its location and Australia’s low-risk Northern territory, favorable low operating costs, robust project economics. And the fact that we hold approvals for all major environmental permits and expect to have the operating permit in the near future, we believe that these factors coupled with the technically advanced stage of the project, an excellent infrastructure place Mt Todd on a short list of the most attractive development-stage gold projects in the world. Our exhaustive technical studies provide a solid basis for engagement with prospective development partners and current market conditions demonstrate the robust economics of the project. We continue to believe Mt Todd and Vista Gold represent an exceptional investment opportunity for the investor looking for value, growth potential, low geopolitical risk exposure, and strong leverage to the gold price. At today’s gold price in foreign exchange rate the Mt Todd project economics demonstrated an after tax and PV with a 5% discount of approximately $1.5 billion to an IRR of greater than 35%. Vista continues to advance de-risk Mt Todd in this well position in the current gold environment to consider prospective development partners who we believe will recognize the value of Mt Todd and appropriately reward shareholders. In conclusion, we find ourselves in the market with strong, although somewhat volatile gold prices and governments around the world approving additional stimulus packages. We believe this bodes well for sustained and modestly improving gold prices in the coming 12 to 24 months. The work we have completed over the last several years, but especially in 2020 has positioned the Mt Todd gold project as the largest undeveloped gold project in Australia with 5.85 million ounces of proven and probable reserves, Vista controls the third largest reserve package in Australia. Mt Todd is ideally located in the Northern territory of Australia, an extremely mining-friendly jurisdiction. Mt Todd is favored with paved roads to the site and other existing infrastructure, including power lines, a natural gas pipeline, freshwater storage reservoir, and tailings and [indiscernible] of facility. The project improvements we have achieved along with our estimated mineral reserves and production profile have created the foundation for the leverage to gold price and improve shareholder value. We have earned the trust of the local stakeholders and believe that our social license is firmly in hand. We have worked hard to secure the authorization of the major environmental permits and believe we are close to receiving the authorization of the mine management plan. We believe Mt Todd is a superior asset located in a politically stable and mining-friendly jurisdiction, and one of the most attractive development stage gold projects, not just in Australia, but in the world. I reiterate our commitment to find a partner to advance the project and at the same time, realize value for our shareholders for a more comprehensive assessment of the value. According to Vista and the Mt Todd project, I refer you to our corporate presentation, which can be found on our website at www.vistagold.com. We believe that Vista Gold represents an exceptional investment opportunity for investors looking for value, growth potential, low geopolitical risk exposure, and strong leverage to the gold price. We will now respond to any questions from the participants on this call.
Operator: [Operator Instructions]
Fred Earnest: We received one question by email that I would like to address before we open the lines for questions. This question simply says, "Could you please ask CEO, Mr. Earnest, to explain the process of application and approval for the NT mine management plan in greater detail on the call today?" I’m delighted to do that. The mine management plan is the formal authorization by the Northern territory government for the operations, for any mine in the territory. The process starts with the submission of an application and the presentation of a mining plan, which includes all of the management plans for mine operations, processing, tailings disposal, environmental management plans, water management, air quality management plans. All of these are prepared by third-party independent consultants and experts that are compiled into a comprehensive plan that includes the reclamation, bond calculations, which are submitted to the NT department of mines. The NT department of mines then begins their exhaustive review of the documents and the plans. And it all often involves – has in our case, an extensive process of questions and answers and requests for additional information. And in our case, a number of requests for independent third party validation of our recommendations. I’m pleased to report that that process was completed in the fourth quarter of last year. And at that point in time, we began to anticipate the ultimate approval and final approval of the mine management plan. In early December, the Minister of mines of the Northern territory at a public luncheon made a surprising announcement in which she indicated to us that the approval of the mine, the Mt Todd mine management plan was imminent. In hindsight, I’m afraid that we placed a little bit too much emphasis on the Minister’s communication and realized that the political process of the final approvals has taken longer than we expected. Subsequent to that announcement, we received copies of the formal approval documents for review and comment. Our council has worked with the legal counsel for the ministry of mines, and I’m happy to report that the approval documents are in their final form, that they have been signed off. The final approval of the mine management plan requires a signature of three government officials, the director of the department of mines who supervise the technical review of the document. Secondly, the signature of the chief executive of the department of mines and third, and lastly, the signature of the Minister of mines to date. We now understand that both the director of mines and the Minister of mines have signed off and the approval package has been forwarded to the Minister of mines Is Nicole Madison. We continue to believe based on my conversations with her in December, that there will be no reason for her to delay or impede the approval of our mine management plan. The document resides with her and her department, and we are at the present time waiting for an indication that the mine management plan has received the final signature and the approval that’s required according to the mining act. We continue to believe that this will happen in the near future. We’re frustrated – I would say that we’re more frustrated, perhaps no one more than I, that this has taken as long as it has. These approvals can be political. And to a degree, the timing of their announcement may be time to meet the best needs of the Minister or the sitting government. But regardless, we have great confidence that the mine management plan will be approved. We can to be hopeful that it will be in the near future, and we encourage you to stay tuned. We expect that this will have a very significant impact on the value of the project. Certainly, it’s a – one of the most important de-risking activities that we have going on right now. And we feel that it will be something that will tremendously add to the value of our discussions with potential partners. I believe that answers the question that I received. And so to me, if you would like to open the lines for questions from participants, I will be happy to take those at this time.
Operator: Thank you. Your first question comes from Jake Sekelsky of Alliance Global Partners. Your question please.
Jake Sekelsky: In just looking at the expansion of the original exploration program, it seems like you’re accelerating things here a bit. Do you think we could see another expansion of the program in the second half of the year, or is it just too early to tell at this point?
Fred Earnest: Well, Jake, you’ve known us for a long time and certainly, we make decisions based on results. Right now the results that we saw in the first part of the program were very encouraging. The continuity of the mineralization has turned out to be very close to what our geologists expected. And many of the holes exceeded our expectations. As I indicated that the current drilling and the next announcement of results will include results for holes that were drilled on an east-west section, approximately 500 meters north of the limits of the Batman deposit resource model. And we’re very pleased with the results that we’re seeing. We’re anxious to announce results when we get the last assays in for the one hole that’s pending. If we continue to see the kind of results that we have seen to date, I believe that it would be reasonable to expect that the program will continue through the latter part of the year, but I reiterate that that will depend on results. And for that reason we will be monitoring that John Roselle, our Senior Vice President in very close contact with the exploration team and trying to make sure that we are appropriately citing and locating holes to gain the maximum geologic information, but also to thoroughly test and gain an understanding of the potential for increased resource growth and for the kind of growth that would actually change the Mt Todd project from being an isolated deposit to a bonafide gold district.
Jake Sekelsky: Okay. That makes sense. And I guess just building off that a bit, I’m curious if there is sort of a timeframe yet for a resource update. I mean, even, maybe moving down the line on a feasibility study, and I’m just curious on your thoughts on maybe the timing of that as we move into the second half of the year.
Fred Earnest: Yes. So first of all, I think it’s very important that everybody keep clearly in their minds that the drilling that we’re doing is not resource definition drilling. This is really resource discovery drilling and it’s, we’re drilling very wide spacings north to south along sections. We’re drilling on somewhere between 75 and a hundred meters facings to understand the geology. But as I said we’ve stepped out 500 meters and so we’ll not likely be doing a huge aMt of resource improvement or resource estimating. Although, some of the drilling from the first program, the drill holes that were announced the latter part of last year and the first part of this year were drilled up very close to the pit and the north extension of the Batman Deposit. And it’s expected that there’ll be a minor improvement in resource and that could affect the mine plan. Second of all, with regards to the question about an update completion of the feasibility study, for the U.S. listeners many people may not be aware that as Doug Tobler correctly pointed out that we have a new reporting standard here in the U.S. SEC reg SK1300 replaces industry guide 7. And by the time we file our 10K next February, we will need to have an SK1300 compliant technical report. We are currently evaluating whether this is the right opportunity to complete a feasibility study and move the project to that stage, or whether we should remain at the level that it is. But the bottom line is that we will be publishing a new technical report that will be compliant with that new standard, as well as meeting the current Canadian standard which is the NI43 101. So I would – that decision will be made in the near future but the bottom line is there We will be completing a new technical report in order to be compliant with the U.S. standard prior to the end of the year.
Operator: [Operator Instructions] Your next question comes from Heiko Ihle of H.C. Wainwright.
Marcus Giannini: This is Marcus Giannini calling in for Heiko. Your states that you plan to quote close the gap between your market cap and the intrinsic value of Mt Todd by continuing drilling to demonstrate the potential to dramatically expand gold resources and advancing feasibility studies. Can you just – I guess you can argue that this gap has already narrowed the stock up 35% over the past 12 months, but could you maybe walk us through some of the investor outreach and other methods you guys are utilizing to further enhance shareholder value?
Fred Earnest: Yes, absolutely. You know Pam Solly who’s on the call with us this morning and works very diligently to maximize the benefit that we received from conference participation and other outreach programs. So far this year, we’ve participated in a number of conferences that have been held virtually. Most recently, we participated in the H.C. Wainwright mining conference and also the World Gold Forum, which is sponsored by the Denver Gold Group. In addition, we continue to undertake participation in virtual meetings that replaced the lunches that we would have held two years ago. We participate in webinars and we continue to do many things to reach out to investors in a close-knit type of forum. Unfortunately, all of that outreach is still occurring virtually. And while we have – all of us on our team here in Denver now been vaccinated or have had COVID, we’re prepared to travel and willing to do when groups begin to open up and feel comfortable having visitors come and talk. I think another important outreach aspect is the aspect of social media. And over the course of the last 12 months, Vista has taken steps to significantly increase its social media footprint and the aMt of traffic that we’re seeing, and the aMt of the number of readers, people that are reading blog posts and visiting our website has increased substantially over the last year. And we certainly appreciate Pam’s efforts in that regard. You know, I would just – I just conclude by reminding listeners on the call today that there’s tremendous opportunity here as we execute on our strategies. And as we move closer to a valuation that represents or closer to the intrinsic value of the project. Right now, as we indicated in the call, at today’s gold price, the NPV of the project on an after-tax basis with a 5% discount rate is approximately $1.5 billion and we’re trading at about 10% of that. And that’s our goalpost is to see our shares increase. Without being a producer, it’s not reasonable to expect that we’ll achieve that full valuation, but we see that as where we’re headed. And, as we complete some of these activities that make the project, first of all, lower risk, obviously getting the mine management plan approved does exactly that. It eliminates one of the most significant risks in the development of any project and that’s permitting. And with that, when that’s approved, we will hold all of the major permits for the project. But second of all, completing other programs that have been raised as questions or points of interest by potential partners, as we’re using this time when we can’t travel and we can’t get people to the site to further check those boxes, we believe that we’re adding value for a future potential transaction with a partner. So those are some of the things we’re doing.
Marcus Giannini: Okay. Awesome. Appreciate that. And then switching back over to drilling, I guess, can you guys elaborate on the significance of the most recent results at Mt Todd from structural standpoint and maybe how some of this data is shaping your drill plan going forward?
Fred Earnest: Yes, so we were very successful in our early exploration at Mt Todd at the Batman Deposit there by drilling approximately sixty thousand meters of drill holes, all of them core, that ranged in depth from 200 to over 800 meters, we were able to essentially triple the resource of the deposit. There’s been a significant aMt of historic drilling conducted in the area of the Mt Todd project. However, most of it was very shallow, less than a hundred meters in almost all cases. And almost all of it was completed using RC or rotary air blast drilling. The challenge with that drilling is that it grinds up the rock and the material is evacuated from the hole as chips and the previous owners of the site were looking at grade, but not seeing the structure. This is a structurally controlled deposit, and we’ve learned many things from the 60,000 meters that we drilled in the Batman Deposit. Applying that knowledge and taking that understanding and realizing that we only gain that knowledge by drilling core, our geologists have spent a lot of time working over the last 24 months to understand the structures that project and are a continuation of the structures in the Batman Deposit. Specifically, we focused on two sets of structures. The northern trending structures that project north from the Batman Deposit, and that also are found in kind of an echelon or parallel pattern to the Northeast that we believe are similar to the structures in the Batman Deposit.  And second of all, the cross structures that connect these generally north-trending mineralized structures to one another at With diagonal intercepts. One of the things that we see it in the Batman Deposit is that the intersection of one of these structures and the main Batman’s structure or structural zone created a point of swelling. And it kind of the core of the Batman Deposit. This is typical. When we see the intersection of structures like this, or hinge points in these structures, the ground is generally more or was more fractured and hence create a greater opportunity for the formation of the quartz calcite sulfide veins that are the host to mineralization in the – at the Mt Todd project. We are following these structures and presently, we are moving from the Batman Deposit to a target that has two very shallow, perhaps 35, 00 meter deep open cuts called the Gulf Telus target. There’s almost no drilling underneath these old open cuts and we’re right now drilling at the south end of that. We will continue to move to the North and drill underneath it and continue to advance our understanding. We’re basically drilling on wide enough spacings that a potential partner will be able to look at this and connect the dots and understand the significant potential that we see in the project. We believe that seeing this potential will help people understand and have greater confidence in our statements that we believe that the Life of the Mt Todd project will easily be over 20 years. And then with their involvement in the project, more detailed drilling and resource definition drilling and a greater investment will be made, but it will be made with far greater dilution to the Vista shareholder than if we were to undertake it ourselves.
Marcus Giannini: Okay, awesome. That was really helpful. And then last question. Once the watering of the Batman Pit is done, any ideas on what that will do to your cash burn? I’m assuming some pumps will still need to be running, but it should be a much more minor expense, right?
Fred Earnest: I’m going to let Doug Tobler, our CFO, answer that question, Marcus.
Doug Tobler: Yes. So just to put it in context, we pumped 1.7 gigaliters during Q1, and that cost us just a fraction over $200,000. So it’s basically the cost of the electricity. The remaining water in the pit is about half a gigaliter. And as Fred said, we can take that down in a matter of weeks. So the cost to remove that water’s very low. It’ll be less than $200,000. And then going forward, there’ll be very, very little need for any pumping. So you can almost put it as a zero in our budget as we move forward. It will be incidental.
Operator: Your next question comes from [Christophe Olize], a private investor.
Unidentified Analyst: That’s nice. I have two questions. The first one concerns about the mining plan approval. It is a question of weeks or of months. What do you think? And the second question is about the negotiation with this potential partners. When we get the green light with the approval, what do you think will then begin? It is all prepared with this many potential partners and they are only waiting for the green light of the approval? Or do you think then starts the concrete negotiation act and it will perhaps last 12 to 18 months. Could you explain it a little bit more?
Fred Earnest: I would be happy to, Christophe. Thank you for those questions. First of all, with regards to the mine management plan, we’ve erroneously now, in hindsight, communicated to the market that we are anticipating the approval of the mine management plan in weeks, for now nearly a quarter. And we feel remiss about that, but based on the information that we’ve had at each juncture for making a statement, we believe that was the case. As I indicated in response to the question that I received by email, we know that we are now down to the last approval, and we’re not aware, we’ve not been made aware of any reason why this would be delayed. However, the minister and the government, for their own reasons, may choose to make an announcement during the sitting of parliament over the next couple of weeks. They may choose to wait until after parliament finishes sitting and make an announcement then. I don’t have any firm indications. I don’t have a date. I suppose, like many of you who get up every morning and look to see if this has made an announcement as to whether it’s been received, I get up every morning and check my email to see if I’ve received an email from our general manager telling me that it was approved overnight. And so we continue to be, first of all, very confident that it’s not a matter of if, but it’s a matter of when. And it’s completely at the minister’s discretion at this point in time. I personally remain very hopeful that it’s within weeks. It has drug on. It’s been a lot longer than what we had expected and what we were honestly led to believe by statements from government officials going back to December. However, I do know the Minister of Mines. I’ve had numerous interactions with her. I have no reason to doubt her word. And I placed a great deal of confidence in the fact that she has no reason to sit on or delay the approval of the plan. So that being the case, I would say that personally, I continue to be hopeful that it will be in a matter of weeks. But in the meantime, we continue to do all that we can. Second of all, addressing your question with regards to how this affects our process and the work that we’re doing to attract and reach an agreement with a potential development partner, first of all, the approval of the mine management plan will be a very important event for those who are undertaking due diligence. As I indicated, it’s a very significant de-risking event and it removes a considerable aMt of risk and doubt that’s associated with any mining projects. It provides a great clarity, because all of a sudden, we know exactly what the requirements, the stipulations, the obligations of the company will be with regards to the operation of the project. Unfortunately, this is not going to be the catalyst that moves everything forward as quickly as we would like it’s a very significant event. But the biggest factor that’s holding us back right now is the fact that Australia has not opened its borders for international travelers. And there’s no indications that that will happen anytime soon. In fact, projections are that it won’t be till after the end of this year. The restriction affects us in the following manner. One of the potential lab company or potential partners has indicated that they will not be completing any M&A activity until their CEO and executive team members can actually visit the site. And so that’s the driving factor right now. But in the meantime, this gives us opportunity. Obviously, getting the MMP approved, the mine management plan approved, is one. Completing the drilling that we’re doing, and I encourage you to stay tuned and watch for the next press release in the next couple of weeks, with the results of the drill holes that have been drilled on structures, two of these North trending structures. I believe that the drilling program that we’re undertaking is going to be of significant interest to potential partners and will answer, or begin to answer questions that they’ve had about the potential to ultimately increase the life of the project. The time that we have is something that’s beyond our control, but I think the message that I would leave with you, Christophe, is that we as a management team are using this time very wisely to continue to answer other questions that potential partners have raised and to eliminate doubts in their minds and to further de-risk the project so that when we are able to host those visits, that we’re able to quickly engaged in substantive negotiations and discussions about what a partnership might look like.
Operator: There are no further questions at this time. I would like to turn the call back over to Fred for closing remarks.
Fred Earnest: Very good. Thank you, operator. Ladies and gentlemen, we thank you for joining us on the call this morning. This has been a very active and interested call, and we appreciate your interest and participation this morning. As Doug indicated, we continue to be very careful and cautious in the expenditure of the resources of the company. And we’re trying to maximize the value that’s returned for that. We’re very pleased with the progress that’s been made. We’re frustrated by the fact that we’ve not yet received the approval of the mine management plan, but we have no reason to give up hope and we believe that this will be coming in the near future. We encourage you to stay tuned, watch for results, an announcement to the effect that we’ve gained that approval. And also, as I indicated, please be mindful of the drill results that will be announced in the coming weeks. We have two drill rigs running. And so we’re drilling at a faster rate and we’re very encouraged and pleased by what we’re seeing and look forward to getting the last assay results so that we can share those with you. We continue to be encouraged by the current gold market and the tremendous leverage that we enjoyed at the price of gold, and certainly continue to believe that that Mt Todd and Vista Gold represent a remarkable investment opportunity for those seeking growth and value and leverage to the price of gold in a politically stable jurisdiction. We thank you for your time this morning, and we wish all of you a very pleasant day. Bye for now.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.